Operator: Good day and welcome to the Koppers Holdings, Inc. Second Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Quynh McGuire. Please go ahead.
Quynh McGuire: Thanks, Amy and good morning. My name is Quynh McGuire and I am the Director of Investor Relations and Corporate Communications. Welcome to our second quarter earnings conference call. We issued our quarterly earnings press release earlier today. You may access this announcement via our website at www.koppers.com or call Rose Hilinski at 412-227-2444 and we can send a copy to you. As indicated in our earnings release this morning, we have also posted materials to our Investor Relations website that will be referenced in today’s call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website and a recording of this call will be available on our site for replay through September 6, 2016. Before we get started, I would like to remind all of you that certain comments made during this conference call maybe characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. These forward-looking statements maybe affected by certain risks and uncertainties including risks described in the cautionary statements included in our press release and in the company’s filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company’s comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company’s actual results could differ materially from such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures. The company has provided with its press release, which is available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. I am joined on this morning’s call by Leroy Ball, President and CEO of Koppers and Mike Zugay, our Chief Financial Officer. At this time, I would like to turn the call over to Leroy Ball.
Leroy Ball: Thank you, Quynh. Welcome everyone to our second quarter 2016 earnings call. To begin today’s discussion, I would like to provide you with an update on events that occurred during the June quarter as we continue to implement our long-term strategy of transforming Koppers from a commodity chemical company primarily focused on emerging market growth in the aluminum industry to a company centered around the concept of delivering customer focused solutions primarily through technologies to enhance wood. Now, let’s start with an update on our progress of moving to a zero harm culture. I remain steadfast in my belief that zero is possible, because it is already being achieved on a daily basis at several of our facilities. I will continue to drive this point home as we assemble our operations team from around the globe in Pittsburgh next month for zero harm leadership forum, to share best practices and reinforce our vision to move from compliance to commitment and the steps that were required to get there. An important part of our mission is having a culture that safeguards employees, the environment and the communities where we operate and we will be relentless in our approach to achieving zero harm. Now, moving on to our June quarter highlights, the second quarter outperformance was primarily due to our Performance Chemicals, or PC business, which delivered extremely strong operating profitability. This was due to a whole host of factors which include continued strength in existing home sales, remodeling spending that continues to accelerate towards its previous 2006 peak, raw material cost that has settled in at lower levels and a move by certain retailers to higher retention pressure to your products. In our railroad and utility products and services, or RUPS segment, sales decreased primarily from lower sales volumes and pricing of treated crossties spilled into the commercial market. As there has been a flattening in demand for crossties in the Class 1 market, it has created greater competition for non-Class 1 business, which has resulted in competitive pricing pressure. Added to this situation is that the pricing for hardwood began to soften and also contributed to lower pricing as that gets passed on to customers. Even so operating profit on an adjusted basis for RUPS improved from prior year due to a positive sales mix, more heavily weighted to treatment services, as untreated tie inventories are starting to level out. Regarding CM&C, sales declined year-over-year for the June quarter as market conditions continue to be challenging. Sales volumes were lower for carbon pitch, carbon black feedstock and naphthalene. The reduced sales volumes were the result of our decision to size our operations to serve the North American creosote market, which results in the need to distill less coal tar to serve the byproduct market. Another driver to the decrease in prior year was due to lower sales prices for carbon pitch and naphthalene which were affected by lower average oil prices with the partial offset from increased sales volumes for phthalic anhydride. Despite those headwinds, CM&C operating profitability on an adjusted basis increased in the prior year quarter due to the benefits of restructuring cost savings as well as lower average raw material costs. Now, regarding debt, our balance at June 30 was $721 million, reflecting a $14 million debt pay-down from year end 2015. We expect the September quarter to be a strong cash flow quarter due to favorable operating results in the second quarter. The combination of improved profitability in 2016 as well as lower working capital needs in the second half of this year puts us on track to achieve our goal of reducing our debt to $650 million by the end of this year. The transformation continues for Koppers with our company’s vision centered primarily on developing solutions for and applying our proprietary technologies to enhance wood products. As we make progress, we believe Koppers can achieve sustainable profitability and a solid return for our shareholders. Now, I would like to turn over to Mike to discuss some key highlights from the second quarter of 2016.
Mike Zugay: Thanks, Leroy. Starting on Slide 2 of our presentation, consolidated revenues for the quarter were $385 million, a decrease of $47 million or 11% compared to $432 million in the same quarter last year. The sales decline was primarily related to our CM&C segment due to lower sales volumes for carbon pitch, carbon black feedstock and naphthalene. This is because of our decision to size our operations to serve the North American creosote market, which results in distilling less coal tar. Another factor was due to lower sales prices for carbon pitch and naphthalene, which are tied to oil prices. Moving to Slide 3, adjusted EBITDA was $53 million in the quarter compared to $46 million in the prior year quarter. This was due mainly to increased profitability from the Performance Chemicals business, although as you can see on the slide, all three operating segments contributed to the year-over-year improvement. Now, I would like to discuss several items that are not referenced in our slide presentation. Adjusted net income was $19 million in the quarter compared to $14 million in the second quarter of 2015. Adjustments to pre-tax income for the second quarter of ‘16 amounted to $8 million and these were primarily restructuring expenses related to our CM&C consolidation efforts. Adjusted EPS for the quarter was $0.93 compared to $0.68 in the prior year quarter. And our adjusted income tax rate excluding discrete items for the second quarter was approximately 31%. Cash provided by operations for the six months ended June 30 was $34 million compared to $78 million in the prior period. The decrease was mainly due to an increase in accounts receivable balance in the current year and the receipt of a $30 million cash payment to our KJCC joint venture in the prior year. Capital expenses for the first six months in 2016 were $21 million compared to approximately $17 million last year. As stated in our earnings release, we are increasing our estimate for 2016 CapEx to be in the range of $42 million to $47 million in order to accelerate the construction of the new naphthalene unit at our Stickney, Illinois facility which is expected to be completed by the end of 2017. At quarter and, we had approximately $132 million borrowed on our $300 million revolver. Also we had $247 million borrowed on our term loan, $300 million in existing bonds and approximately $42 million of loans in China, which result in a total debt at the end of the quarter of $721 million. Our leverage ratio at June 30 was 4.32 times, well below the covenant of 5.25 times. Our long range goal continues to be a leverage ratio of approximately 3 times. Our fixed charge ratio was at 1.54 also well above the required covenant of 1.1. Based on our 2016 projections, we are very confident that we will remain in compliance with our loan covenants throughout this year and next year as well. Now let’s go back to the slide presentation and look at Slide 4. We continue to anticipate bank paying down our debt in 2016 by $85 million bringing it from $735 million to $650 million by this year end. When combined with our 2015 debt pay-down this would achieve our minimum 2-year pay-down target of $200 million. On a quarter-over-quarter basis, our debt decreased from $738 million to $721 million and this was in line with our expectations. Now, I would like to turn the call over to Leroy for an update on our businesses.
Leroy Ball: Thanks Mike. Let me now speak to the outlook for each of our business segments as we look out over the remainder of this year. Beginning with Performance Chemicals, as I mentioned in my opening remarks, this segment is benefiting from a number of different market factors that have moved in our favor. First and foremost, it’s been a very hot building products market. As discussed on our first quarter call, we saw unseasonably high volumes early in the year which was partly attributed to the mild winter weather that allowed people to pull projects forward. We still want to know just how much that affected our first six months results until we get through the third quarter which is the back end of the outdoor construction season. With interest rates continuing to be low that has only spurred continued increases in existing home sales. With June representing the fourth consecutive month of increases, home sales are now up like 3% over June 2015 and remain at their highest annual pace since February 2007. That activity has had a dramatic effect on home remodeling spending which is now running at about 5.7% annualized improvement over prior year. The projections are for that to continue to accelerate before peaking it around 8% in the first quarter of 2017 growing the fact that more retailers are moving their product lines to higher retention treated products, while raw material prices have remained consistently on the lower end of their historical averages and you see the results that we have posted for the first six months in our PC segment. So what does that mean for the rest of the year, well, we now expect to generate EBITDA of approximately $71 million to $74 million in PC business in 2016 is reflected on Page 6 of our slide presentation. This is a net increase of $6 million to $7 million from our previously forecasted EBITDA of $65 million $67 million and reflects $10 million to $13 million improvement from prior year EBITDA of $61 million. This increase in guidance essentially captures the gain that we have seen over the first half of this year and somewhat hedges are backed over the second half. As we still want to know whether there will be a correction in the latter half of the third quarter for the pull through of projects in the first quarter. In addition last year’s fourth quarter was particularly strong from the volume standpoint was likely the inflection point for the beginning of the much stronger volume as we have been seeing throughout this year. The final factors that make us a little cautious about the second half is that we know our costs will go up as we cannot continue to supply the recent demand with current staffing levels. And we still have pricing provisions on a few agreements that need to get finalized. Our North America mix of approximately two-thirds of this business and therefore tends to drive the results. All regions have posted strong performance over the first six months and are either at or better than the first six months of last year. Moving now to our Railroad and Utility Products and Services business, I am extremely pleased with our relatively strong performance during the quarter and first six months of 2016 and what continues to be a challenging rail environment. During the second quarter, was saw crosstie procurement pull back from a very strong first quarter, while overall treatment volumes actually exceeded the second quarter of 2015. That shift in mix allowed us to maintain consistent profitability year-over-year, while pricing in the commercial market has begun to soften which is a trend that is expected to continue over the back half of this year. When you blow it all down, our adjusted EBITDA for the RUPS segment sits at mid-year, $1.5 million behind last year. Rail joints and the discontinuance of utility pole, pole treating have had a combined $2.3 million negative impact on the year-over-year comparison. Now for the back half of this year, we are expecting to finally see the impact of lower car loadings spread to our crosstie business. While we expect the overall impact from the decline in Class 1 volumes to be minimal on our business, it will continue to put pressure on pricing in the commercial market as the supply of crossties begin to outpace demand. Part of our pricing decline is absorbed by lower raw materials costs as hardwood prices have started to soften. As a reminder, just like hardwood increases flow through to our Class 1 customer base, so do hardwood price decline. We are able to maintain our margin in a declining price environment, but it is on a lower sales number which will also have some impact on expected results. We will be selective about the commercial business we go after, but do expect to see some impact on our overall volumes and pricing for the remainder of this year as reflected on Slide 7. Overall, we are reducing guidance for our RUPS segment to $76 million to $80 million in 2016 compared to our prior estimate range of $79 million to $82 million and $84 million in 2015. Now we still expect to realize net savings from cost reduction initiatives primarily the closure of the Green Spring plant that should net $3 million this year and serve to offset some of the loss profitability from volume reductions. Last thing that I would like to highlight in our RUPS business is our recent announcement regarding two nice long-term rail joint contracts with two of our largest railroad customers which should stem the general market declines we have seen in that business throughout the first half of the year. Both contracts represent nice market share gains for a critical maintenance a way part of the RUPS business. And I congratulate our sales and engineering team for being able to land them. Now, let’s review the outlook regarding our CM&C business. On Slide 8, we are maintaining our 2016 anticipated EBITDA guidance for the CM&C in the range of $18 million to $21 million, which would represent in $9 million to $12 million improvement over 2015. While it’s still a long way to go to get to that improvement number over the last six months, as I have consistently stated, CM&C’s year-over-year improvement is going to be realized in the second half of this year. As of the end of July, we will cease distillation at our Clairton, Pennsylvania facility and are now preparing that facility for closure. This fixed cost savings from that action and the step down of raw material costs will combine to offset volume declines in all product lines other than creosote and phthalic anhydride and lower overall average pricing due to lower crude oil prices. While we have increased our crude oil assumption to an average of $40 a barrel, which is right around average for the first six months, we are not changing our full year EBITDA range, because the $2 million to $3 million of pricing improvement that should result from that is being offset by unanticipated demand declines in some of our seasonal products which we believe will come back in 2017 [Technical Difficulty] levels that are at elevated 2016 first half prices. With steel capacity running at lower rates, we were not expecting to take as much contractual coal tar volume in the first half and we ultimately did. While our first half average raw materials prices are lower than 2015, there is an additional step down that occurs during the second half. Due to elevated inventory levels we would not begin to realize the lower cost raw material in our finished goods cost until the latter part of the third quarter. As also served to mute the pricing gains, we would expect its result of higher crude. The good news is once we work the higher cost inventory out of our system, we will be realizing gains consistent with our expectations, which is still allow us to see considerable improvements in CM&C into 2017. As a result of our improved performance and my confidence in a more stable outlook, I am authorizing slightly higher capital spending for the remainder of this year to ensure that we complete our new naphthalene unit in Stickney by year end 2017. Excluding additional plant closure and remediation work, our goal is to have our CM&C operations fully restructured by 1/1/2018 and the results of that business normalized on a go forward basis. It is still our expectation that we can generate $40 million plus of annual EBITDA at the lower end of the crude oil price spectrum. As announced on July 5, we closed on the sale of our Port Clarence and Scunthorpe facilities in the UK to Industrial Chemicals Group, who will use those facilities as chemical distribution locations. I cannot emphasize how important that transaction was to reducing future risk for Koppers. Not only does it eliminate the overhang of unresolved environmental liabilities, but allows us to redirect resources that would have otherwise been tied up on the activities related to those closures and allows us to focus on other elements of our restructuring plan. Without it we likely would not be able to move forward on our new naphthalene unit as quickly as we now can and future savings would have been pushed off even further into the future. We are lowering our 2016 consolidated sales expectations from $1.5 billion to $1.4 billion as affected on Slide 9, due to an expected decline in our CM&C segment sales of $150 million to $180 million from prior year. Also the low end of RUPS has been adjusted down from prior expectations of $25 million sales decline to current projections of $50 million sales reduction to reflect general weakness in the rail industry and lower pricing as a result of lower hardwood cost. On the other hand, 2016 sales for Performance Chemicals have been revised upward by another $5 million to account for stronger than expected sales volume. Turning to Slide 10, adjusted consolidated EBITDA is anticipated to be in the range of $162 million to $172 million compared with the prior forecast of $160 million to $168 million. As a result, adjusted EPS is projected to be between $1.90 and $2.20 compared with the previous range of $1.85 to $2.10. Once again, I feel good about where we stand 6 months into this year and I am happy to increase our guidance in light of the many positive things that are going our way. However, I do remain cautious about our RUPS business, how sustainable the demand in our PC business really is and the inherent risks that are involved in the massive restructuring efforts that we are in the middle of in our CM&C business. The one thing I will say is I am extremely proud of our employees who worldwide have banded together and allowed us to make massive strides and performance in a very short timeframe. The messages that they have had to endure have at times been very difficult, but they have proven their strength and resilience through their performance and I would like to personally thank them for going above and beyond to make all of this possible. I would now like to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Laurence Alexander with Jefferies. Please go ahead, sir.
Dan Rizzo: Good morning. It’s Dan Rizzo on for Laurence.
Leroy Ball: Hi, Dan.
Dan Rizzo: How are you doing? Just so with the PC business, is there lumpiness involved with that at all, I mean is there anything like pull forward things that happened at times or is it something that does only occur with this business?
Leroy Ball: Well, I mean, it’s a seasonal business. And so you have the outdoor construction season that really is strongest in the second quarter, starts to ramp down in the third and then of course first and fourth are lower, so that’s normally how it works. This year we talked about the first quarter really being – we saw really unseasonably strong volumes in the first quarter and we attributed that to the mild winter weather and the potential pull through of projects that might have been planned for later in the year. Again, we won’t really know whether that’s true or not until we get through the full construction fees and see how it turns out. So, there could be some pull through that is in the first six months results. We just won’t know that until we get throughout the third quarter. So, I am sure that’s happened in the past at times, but it’s hard to tell. And certainly we won’t be able to tell until we get a little further into this year whether that’s in fact happened this year. But volumes have been pretty consistently strong throughout the first 6 months of the year.
Dan Rizzo: Okay, thank you. And then with the CM&C business with phthalic anhydride specifically, I know in the past that oil at times can be a headwind when it’s dropping and I know it was down to a certain extent year-over-year at this point in time, but it did rise throughout the second quarter. So, I was wondering if that was a tailwind for a time before potentially tailing off as we head into the fall here?
Leroy Ball: Yes, so the impact on orthoxylene, which is what our phthalic pricing is tied to. It lags a little bit in terms of what’s going on in the crude oil markets and we have talked in the past about it always – not always at times becoming disconnected to those movements. I will say that right now throughout the year we have seen probably consistent percentage increases in that as we have in crude, but they do lag by a month or two months in terms of being reflected in the actual pricing. So, we haven’t seen a whole lot of positive impact so far on the phthalic side of things due to the higher crude. And compared to last year, still overall, the benchmark for orthoxylene is down quite a bit from last year just as crude has been averaging down quite a bit from last year. I think for the quarter I want to say crude average somewhere in the neighborhood of $46 whereas last year I think it was somewhere of $57, $58 in the second quarter. And for the first half of this year, it’s been around $40 and the first half of last year it’s $48. So, while I know people are certainly encouraged by the fact that we have seen gains in that over the past couple of months on a year-to-year basis, it’s still down a decent amount. And the third quarter if it can move backup and maintain price levels that it averaged in the second, then it should be somewhat comparable, I think to where the third quarter ended up last year. But all-in-all, it’s still a negative comparison year-over-year although it certainly is providing us a little bit of a benefit sequentially on the phthalic side, we won’t really realize – start seeing some of that realized until this third quarter.
Dan Rizzo: Thank you. That was actually very helpful. And then with just last question, you mentioned KJCC with the payment last year, is that still on track for the end of the year and into 2017?
Leroy Ball: So, yes, they are going through the startup phase right now that kicked in, I think in May. And there is a 6 months timeframe there where they have to take a minimum amount of volume through the end of November and then the contractual volumes kick in from that point forward. So contractually, yes, they are required to essentially kick up demand at the end of this year. Needle coke pricing continued to be significantly depressed in China and I know that they have been taking less than contracted demand up to this point in time, but there are some protections within our contract that compensate us for that. So, we still feel okay with where things are at in terms of the protections we have, but it’s not a good situation for needle coke that’s for sure.
Dan Rizzo: Right, thank you very much.
Leroy Ball: You are welcome.
Operator: From KeyBanc Capital Markets, we have Ivan Marcuse. Please go ahead, sir.
Ivan Marcuse: Hey, guys. Nice quarter. Thanks for taking my questions. Real quick in Performance Chemical business, it looks like based on your guidance, you are going to see, I don’t know if you take the midpoint or something somewhere around 12%, 13% -- $12 million to $13 million reduction in the second half versus the first half in terms of EBITDA. I am just curious how much of that would be of that guidance? I know you are guessing a bit in terms of the volume, but how much of that $13 million decline be volume versus some price giveback it sounded like and then higher costs?
Leroy Ball: Gosh, it’s a good question, Ivan. I would say that probably over half to two-thirds will be probably related to potential volume pullbacks something in that range, but I couldn’t give you any better guidance than that.
Ivan Marcuse: Great. And if you look at the – you talked about you are still expecting risk that there is some pull that some impacts on pull-through, if you didn’t see it in the second quarter, why would you see it in the third?
Leroy Ball: Well, I think if you think about the second and third quarters is encompassing the majority of the other construction season. If there is pull-through in demand, then you are going to see a stronger first quarter. You are still going to see I would think relatively speaking a stronger second quarter and any of that, that demand had been pull through, you are not going to see it fall off until you get to the back half of what would be the normalized construction season. So, we would expect even with the stronger first quarter see a pretty decent second quarter, but if there is two months worth of projects essentially out there and you accelerate those or you pull some of them through, you are not going to realize the reduction or whether there is reduction until you get to the back end of that construction season. That’s the third quarter. So, that’s why I don’t think there was an expectation necessarily in the second quarter to see a decline, but in the third quarter remained a question mark as to whether it could be there.
Ivan Marcuse: Are you seeing signs or is there anything out there that’s indicating that, that gives you sort of the confidence or are you seeing customers like Home Depot, whatever, saying hey, we ordered a bunch in the second quarter we are not going to order much in the third?
Leroy Ball: Yes, I mean, are we seeing signs of it at this point? No, we are not. So, that is a good sign, that is a good sign, but we still have 2 months remaining, so…
Ivan Marcuse: Okay, great. And then – alright, sounds good. And CM&C, did you have any cost savings help out in the second quarter or of this $11 million to $14 million basically of your cost savings guidance, how much has been achieved in the first half versus how much will be achieved in the restructuring savings in the back half?
Leroy Ball: Of the range that we gave.
Ivan Marcuse: Yes, the $14 million to $17 million.
Leroy Ball: We gave I mean less than half would be encompassed in the first half. So, maybe it’s 25% to 35%, something like that in the first half with the bigger chunk of it being in the second half, because a big chunk of that is that Clairton facility going down here at the end of July.
Ivan Marcuse: Okay. And then if you just real quick modeling questions, I will get back into the queue. Your interest expense, you may have said this, I missed it, but your interest expense sort of jumped up sequentially a couple of million dollars, which I guess surprised me a little bit, but is that – where should interest expense sort of land for the year, how to think about it going forward over that line? And then the tax rate, are you still sort of looking at the mid to high ‘30s?
Mike Zugay: Hi, Ivan. This is Mike Zugay. The interest expense in the quarter is more or less artificially $2 million high, because what we did in the quarter was we renegotiated our revolving credit line from $500 million down to $300 million. And U.S. GAAP makes you go ahead and reduce your deferred financing costs that you have on the balance sheet, because of that $200 million decline. So, there was – actually it was a little over $2 million from deferred financing costs that we had to recognize through the P&L and the way we record that is through interest expense. So, interest expense in Q2 is $2 million artificially high for a non-cash charge.
Ivan Marcuse: So, would you expect to go back to sort of $11 million to $12 million range in the back half of the year per quarter?
Mike Zugay: Correct.
Ivan Marcuse: And then tax still assuming is 36%, 37%?
Mike Zugay: Yes, the tax, yes somewhere in the little bit above 35% is where we are trending. Again, it depends on where the profits are made, because we have many different taxing jurisdictions, but we are right around that 35%, 36%, 37% level.
Ivan Marcuse: Okay, thanks. I will jump back into queue.
Leroy Ball: You are welcome.
Operator: And next we do have Liam Burke from Wunderlich. Please go ahead, sir.
Liam Burke: Thank you. Good morning, Leroy. Good morning, Mike.
Mike Zugay: Hi, Liam.
Leroy Ball: Hi, Liam.
Liam Burke: Leroy, KCC in China has been shutdown, could you give us a status of the other plant that’s in the process of exiting the operations?
Leroy Ball: Yes, sure. TKK is the 30% joint venture that we are part of that we have been in negotiation to sell that interest to the majority partner for quite a while now. It’s been hung up. The approval of that sale has been hung up in the provincial government. We did receive some positive word back early this week that, that is actually in the approval process. So, that’s a positive sign. And the expectation is that it gets officially through and signed off on, so that we can then work with our partner to work towards a closing date. I don’t know how long that will be beyond getting the official approval, but the official approval should come down here within days or week or something like that. So, my hope is that by the end of this quarter that we will have been able to close on the sale and move past that, but that’s more or less where that’s at right now.
Liam Burke: And the terms of the deal haven’t changed at all?
Leroy Ball: Well, I haven’t seen all of the details of their approvals. So, I can’t say that with certainty, but from what I have heard, I don’t think that the feedback from them is that it would change substantively.
Liam Burke: Okay. And the end markets are still working well for KPC, do you have a technology, their computing technology is out there. Is there any potential to take share based on what KPC has to offer, benefits that they do have to offer to the user?
Leroy Ball: Well, with our proprietary product, I mean, it’s made strong market share inroads here over the past 6, 7 years. What potential we have to get even greater market share, that’s tough, it’s always tough, because in many cases when you end up going down that route certainly, your competitors don’t take that lying down and you end up getting into some price competition and that’s something that we want to avoid. So, we are happy with the share that we have. And we always see what we can do to selectively add to that. One of the benefits I think of the customer base that we have is we have pretty good long-term partnerships with folks that have been very acquisitive in this space. And so in instances where they snap up smaller traders that might be using competitor’s products, there is a very good chance that we can move in and take some of that business. It doesn’t happen all the time, but it puts us in a prime position to do that. So, most of our market share gains tend to come as a result of consolidation in the industry, but we have made market share gains outside of some kind of consolidation process. So, it’s probably on the smaller end of things.
Liam Burke: Great. Thank you, Leroy.
Leroy Ball: You are welcome.
Operator: And from Monness, Crespi, we have Chris Shaw. Please go ahead, sir.
Chris Shaw: Hey, good morning everyone. How are you doing?
Leroy Ball: Good morning.
Mike Zugay: Hi, Chris.
Chris Shaw: You spoke in the CM&C segment about weaker volumes for some of the seasonal products and I always understood that to be sort of the roofing tars and I guess maybe road tars or is that what was weak in the quarter and why do you think that would be?
Leroy Ball: Yes. That’s some of the products that we are referring to. Going through – I can’t speak to exactly why we have seen some of that weakness. I can tell you that there has certainly been a few cases where there has been some demand there that we haven’t been able to capture because of some things that – it’s just because of some of the complications of going through the restructuring part of our program. But the good news is that we still see a fairly strong market on a go forward basis and think that whatever volumes that we aren’t able to put in our pocket this year that we can get back in 2017. So, we don’t see it as the long-term issue. It’s more short-term as we are a little bit constricted and constrained with some of the things going on in our restructuring program. And last year was a particularly strong season for those products. It doesn’t always land that way from year-to-year. So tough to say, but all-in-all, we still feel pretty good about the markets moving forward into ‘17.
Chris Shaw: Okay. And then can you could remind me I think you have talked about it before, but what the annualized savings will be when you relocate the naphthalene plant at Stickney?
Leroy Ball: Yes. So, that’s – it’s become a little more complicated, because when we first started talking about that a few years back, I think we were talking somewhere, I want to say in the $12 million to $15 million EBITDA range and that involves a number of different things. That project is kind of since been broken down into a couple of different pieces. There is a piece of those savings that came as a result of the eventual conversion of our Follansbee facility into a terminal. And that involved taking down both our tar operations as well as our naphthalene operations. But we took our tar operations down at the end of last year. So, we are able to already recapture or capture some of that $12 million to $15 million savings through the shutdown of tar at Follansbee. And there is an additional piece when we get to actually stop doing the naphthalene there and turning that into a full-blown terminal facility at the end of ‘17, early ‘18. What I would just, I guess maybe remind everybody is what we have talked about right now is we have the $14 million to $17 million of savings from restructuring built into this year which basically involves a full year of benefits from taking the tar operations down at Follansbee from pulling back on the operations at Stickney from shutting down our Clairton facility here in the back half of this year, shutting down KCCC, shutting down Port Clarence and Scunthorpe. And then into ‘17, we talked about our EBITDA going up to $30 million plus as a result of getting full year savings from all of those shutdowns while moving into ‘18, moving up to around $40 million or more EBITDA as project – the naphthalene project gets fully implemented in 2018 and some of the other restructuring benefits that we work on by resizing and going to a smaller operation. So this step progress is $18 million to $21 million this year, $30 million or more next year, $40 million plus for 2018. And that’s what it look – again it’s all at the lower end of the crude oil price spectrum and we don’t know where that would be, obviously at that point in time. But there is upside as oil would go up and we don’t have other things impacting it and offsetting it the other way.
Chris Shaw: That’s quite helpful. And then just on rail and I know you are probably not in the market for deals right now, but I was just trying to think about their products within rail that you are interested in maybe to sell-through the customers that you guys don’t have in your portfolio right now?
Leroy Ball: Sure. That’s I think that we haven’t done a lot in the past couple of years and we certainly – we are still limited in light of our current leverage. But yes, I mean we are and would remain interested in looking at opportunities that involve expanding the maintenance of way product and service line that we have. The vast majority of what we do is in treatment of crossties. But we do have the rail joint business. We do have the railroad structures, bridge business that we picked up as a result of the Osmose transaction in ‘14. And we are always looking for opportunities to add different products along that maintenance of way spectrum that we can provide a full product offering, product and service offering to the railroad industry. I think that there is a lot of great synergy and opportunity in terms of being able to have a broader product suite. So yes, we are interested. It would be again on the maintenance of way side of things. It would be getting out into other areas involving rolling stock and stuff like that. It will be strictly on maintenance of way.
Chris Shaw: Okay, great. Thanks a lot.
Leroy Ball: You’re welcome.
Operator: [Operator Instructions] Our next question is from those Scott Blumenthal with Emerald Advisers. Please go ahead sir.
Scott Blumenthal: Good morning Leroy and Mike and most importantly Quynh.
Leroy Ball: Hi Scott.
Scott Blumenthal: Mike, can you maybe give us an update on coal tar pricing and were you able to realize maybe some mid-year resets as the domestic integrated steel firms seem to ramp a bit and I guess where do you see average full year pricing on a percentage basis this year compared to last year?
Mike Zugay: Scott, we are still negotiating with two major suppliers and those negotiations are proceeding very well. But we are not there yet from that standpoint. We can’t say that coal tar prices have dropped dramatically from the first part of the year. But keep in mind the agreement we had with one of our large suppliers that we gave notice to didn’t expire until mid-July. And that’s going to continue as we work through some of that inventory, that kind of diminish some of the profitability that would fall to the P&L otherwise. So we are in the process, coal tar pricing is much, much lower than it was in the fourth quarter of 2015 than it was in the first quarter of ’16 and the second quarter and it’s going to drop rather substantially as we move forward in the third quarter and fourth quarter.
Scott Blumenthal: Okay. The one major supplier that you mentioned, are you still doing business with that, supplier and would that be under the terms of the now expired agreement or is that kind of a merchants business now?
Mike Zugay: We currently are not doing business with that supplier. But we are talking to that supplier to take some of their coal tar volume at prices that we believe are market prices.
Scott Blumenthal: Okay, super. And then one more Leroy, regarding the Performance Chemicals segment, can you – are you able to speak to how much you think that mix in that business might have worked in your favor and maybe some of the your customers kind of trading up to some of your more premium maybe the micronized copper offering products that you are currently offering?
Leroy Ball: Yes. Well, I can’t speak to specifics, but mix did have an impact on the results. And it’s not because of customers trading up so much as the strength in the residential side of the business as compared to the industrial side of the business. So the big piece of the volume increases we have been seeing have been in our patented products on the residential side. So that gives us a positive mix. But it’s not as a result of kind of a trade up into new or different preservatives.
Scott Blumenthal: Okay, I appreciate that. And have you previously discussed the value of your stake in TKK or is that something that’s not been disclosed?
Leroy Ball: Truthfully Scott, I don’t recall, I will say that our sake in although I can say that our stake in TKK is rather minor for a couple of reasons. We are only 30% owner in that business. And that business has made consistent losses over the past several years. So our stake in that business is very small. I think what we have said is the biggest benefit of getting on that business is stemming future losses and working to get our shareholder loan back. We have $9.6 million outstanding to that joint venture that was lent from Koppers back in 2011 timeframe. So it’s not about realizing large amount of money from selling our share. In fact that would be very, very nominal. It comes from getting out of business, stopping future losses and working to get our shareholder loan back.
Scott Blumenthal: Okay. So getting out of – the benefit of getting out of the business is getting out of the business then, right?
Leroy Ball: That’s right.
Scott Blumenthal: And have you in the past placed a probability on the full recovery of that outstanding loan or are you not prepared at this time, to…?
Leroy Ball: Well, I can think you we have not reserved against that loan in our financial statements which means that we still believe it is probable that we will collect.
Scott Blumenthal: Alright, super. I really appreciate that. Thank you. Nice job this quarter.
Leroy Ball: Thank you.
Mike Zugay: Thank you.
Operator: And we do have up next Peter [indiscernible] with Ironside Capital – excuse me Ironshield Capital. Please go ahead.
Unidentified Analyst: Good morning gentlemen. Thank you for taking my questions.
Leroy Ball: Good morning.
Unidentified Analyst: Just following up on that CM&C and just trying to understand that what expense the EBD improvement that you would expect things in second half of this year’s were materially about the first half. And then, the further improvements we just quoted in 2017 and 2018. How much of this is going to be driven by the new producers versus the realignment of the coal tax prices you have mentioned being materially lower as we are going into Q3 and Q4?
Mike Zugay: I think they both play a critical piece of that. Certainly the restructuring and the taking out of 7 of 11 offering operated facility over a three-year period will play a substantial piece of that improvement over that timeframe. But the realignment of raw material prices that have just escalated and quite frankly have not resembled anywhere close to what’s going on in the end markets. We will also place significant fees. I mean the reality is we have been for several years in a declining price environment for the end products that come out of the distillation of that raw material. And this is not a sustainable business continuing to buy raw material those were prices that make – in fact you can’t continue to run a business like that. And so it requires a significant re-adjustments in raw material for us and people like us to be able to actually continue to take that product and distill it. And so savings will be significant from the raw materials side. Savings will be significant from the cost line and restructuring side. In terms of the proportion, gosh, I don’t know, I can tell it’s not prepared to tell you on this call. It’s not 75-25 either way, I will tell you that. It will be much closer I think it might be much closer to something that would be a little more towards 50-50. But probably I am sure not exactly there, but it’s large on both ends of the spectrum.
Unidentified Analyst: Okay, that’s very helpful. And just to understand a bit better your views on coal tar pricing and the coal tar pitch and other outputs pricing, so looking now at the old price strengthening slightly versus the beginning of the year and aluminum would probably remaining fairly weak, I mean should we be concerned that on the one hand, the energy crisis may end up pushing up the coal tar price to some extent whereas on the other end very limited capacity from your client sites to access the coal tar pitch price increase or even the current levels?
Leroy Ball: We have actually reflected some of the changing environment in our updated numbers because we did bump up our expectations on pricing relative to the coal tar through the oil price increases. But we do expect and have seen right, certainly reduced demand. Some of that has been as a result of the decisions we have made to downsize and some have been as a result of just a pullback in the aluminum industry. But the good news, Peter is that we are trying to disconnect our future operating results from what goes on in the aluminum markets. Not that we don’t want to serve those markets, but we are still going to be dependent upon moving forward because we are still will be making carbon pitch. We are going to be so much less dependent upon as time goes on just due to the fact that we are distilling that product. So the market can contract, it can move. We think we have other options to move some of that product around to defend against any other additional pullback there. But we are – one of the whole objectives of the strategies was to try and really reduce our reliance upon what we have seen going on in that market over an extended period of time. And we believe that the decisions we are making are going to resolve and just that happening. So it’s always tough to say as you look out 2 years, 3 years, I mean there are so many things that are moving that could ultimately have a positive or negative impact. But aluminum doesn’t concern me the way it would have certainly, 2 years ago or 3 years ago. And it shouldn’t concern others as much as it did in that timeframe either. It’s just a much, much smaller part of our portfolio. And it’s intentional.
Unidentified Analyst: Okay. So just to wrap that before I jump back to the queue, so the thing about the impact of oil price or coal prices moving up or down apparently at your CMC margin, like should we expect that this correlation is going to be different in terms of the direction of magnitudes once you transferring your CMC business or is…?
Leroy Ball: No. we don’t. Oil is still going to have an impact on orthoxylene which you will have an impact on phthalic anhydride. Oil will still have some at least in direct impact on naphthalene which is used as a feedstock in that process. Oil will still have an impact on carbon black feedstock which is priced to benchmark oil prices. So in those product lines, it’s still going to have an effect and that’s why we have talked in the past about again at the low end of the range in 2018 when CM&C looks like is fully restructured moving forward. On low-end of the crude oil price range we think we can make $40 million plus. If oil would move back and I know nobody believes it will, but if oil would move back to where it was in the ‘13, ’14 timeframe high-90s run $100 a barrel we think it could be as high as $70 but still a significant movement between that spectrum. But no oil is going to continue to have an impact on that business. Our objective is that at the low end of the range, we can still have adequately profitable business that provides returns on capital in line with the risks associated in that business.
Unidentified Analyst: Alright. Thank you very much.
Operator: It appears there are no further questions at this time.
Leroy Ball: Well, I would just like to thank everybody for dialing in for the call. Again we feel pretty good about where things stand through the first six months, happy with all the progress that we have made. We will continue to do everything we can to execute on our plan and look forward to catching up again next quarter. Thank you.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.